Operator: Good morning, and welcome to the Iron Mountain First Quarter 2024 Earnings Conference Call. [Operator Instructions] Please note today's event is being recorded.
 I would now like to turn the conference over to Gillian Tiltman, Senior Vice President and Head of Investor Relations. Please go ahead. 
Gillian Tiltman: Thanks, Rocco. Good morning, and welcome to our first quarter 2024 earnings conference call. On today's call, we will refer to materials available on our Investor Relations website. We are joined here today by Bill Meaney, President and Chief Executive Officer; and Barry Hytinen, our Executive Vice President and Chief Financial Officer. After prepared remarks, we'll open up the lines for Q&A.
 Today's earnings materials contain forward-looking statements, including statements regarding our expectations. All forward-looking statements are subject to risks and uncertainties. Please refer to today's earnings materials, the safe harbor language on Slide 2 and our quarterly report on Form 10-Q for a discussion of the major risk factors that could cause our actual results to differ from those in our forward-looking statements. In addition, we use several non-GAAP measures when presenting our financial results. We have included the reconciliations to these measures in our supplemental financial information.
 And with that, I'll turn the call over to Bill. 
William Meaney: Thank you, Gillian, and thank you all for taking time to join us today. We are pleased to report that our team has delivered outstanding results for the first quarter of 2024, achieving another set of all-time highs for revenue and profitability. Our continued progress is evidence of the success of Project Matterhorn and our team's commitment to delivering best-in-class solutions.
 On a reported basis, in the first quarter, we achieved our highest ever quarterly revenue of $1.48 billion, representing 12% year-over-year growth and a new first quarter adjusted EBITDA record of $519 million, delivering 13% year-over-year growth. Project Matterhorn has successfully transformed Iron Mountain into a solutions-based business with a commercial organization that offers a broad range of products and services to meet the evolving needs of our customers.
 This integrated product portfolio drives strong growth across all business areas through our integrated solutions, combining storage with truly differentiated services. Now I'd like to take you through some pivotal wins this quarter. Let's begin with records and information management.
 The strength and longevity of the relationships we have built with our 240,000 customers is leading to further opportunities to offer more solutions from our portfolio to meet our customers' needs. An excellent example of this cross-selling is in the oil and energy sector where a U.S.-headquartered customer with a presence in 75 countries initially selected Iron Mountain to securely manage its data containing geological information.
 Thanks to our expanded range of solutions and a deep understanding of the customers' needs, we are now also providing a secure IT asset disposition solution.
 Another example of our strength and ability to cross-sell and provide more solutions for our customers is in the United Arab Emirates. For the past 2 years, we have been partnering with a prominent bank to provide records management services for a growing volume of documents. With this customer's need to comply with regulations from the UAE Central Bank, we secured an agreement to extend our solutions. These now include document capture and asset life cycle management or ALM services.
 We continue to see opportunities to support government and public sector organizations with their transformations, helping them to increase efficiency and demonstrate value for money for the sources they provide to their citizens. A recent example of this is in the U.K., where we have a long-term relationship with a government agency that trust us to store approximately 18 million records. This customer awarded Iron Mountain a contract to manage documents that must be retained whilst legal proceedings are ongoing.
 Our proven ability to manage records effectively to this customer and a number of other government organizations in the U.K. demonstrates we have the skills, capabilities and experience to successfully manage sensitive projects like this.
 Turning to our digital business, a global customer that provides automation solutions has asked us to digitize its physical records in Morocco. Our InSight platform, which as you will recall, fully integrates both artificial intelligence and machine learning will enable this customer to simplify their current use of multiple information systems and content formats.
 InSight will enable them to derive greater value from their information whilst improving their compliance and driving greater operational efficiencies. The customer's confidence in our solution is a testament to our team's clear understanding of our customers' needs as well as our proven track record of success as a digital transformation partner.
 Staying with digital solutions, an Australian government agency asked Iron Mountain to digitize approximately 250,000 land registry files dating back to the 1850s for government-owned real estate in the state of Victoria. Our solution will ensure that these vital historical records are preserved both physically and digitally, enabling efficient access for land managers, potential developers and government departments.
 Our infrastructure, reputation and expertise, including our ability to meet a requirement to manage the entire project within the state of Victoria were key differentiators that enabled us to secure this deal.
 Moving next to our data center business. We continue to be pleased by the strength and rapid growth of this business and how we can support more customers with the capacity we are creating at our facilities around the world. Today, I want to highlight 3 examples of leases we signed this quarter.
 First, we have signed a 24-megawatt 12-year contract with a global technology company for data center space at our Manassas, Virginia campus. This is an existing North American records customer that required space in Virginia to support their high-performance computing needs and to expand their footprint. Also this quarter, we leased 4 megawatts with an existing global cloud storage customer. The customer relate to us that our excellent customer service was a key determinant in their decision to expand their footprint with us.
 Additionally, in our data center business, we are pleased to welcome a global IT consulting firm as a new customer. They chose us in order to be in close proximity to their clients as well as to meet their demanding connectivity requirements.
 Turning to asset life cycle management. We are pleased to share that this quarter, we closed the acquisition of Regency Technologies. The Regency leadership team have already made strong contributions to our ALM efforts, both commercially and operationally and have integrated well into our company. Moreover, Regency adds 8 complementary locations to our U.S. network.
 Moving to ALM more broadly. We are pleased with strong organic growth in the business, driven by a combination of increased volume and component price recovery leading to a strong quarter. As we continue to build our ALM capabilities, I wish to share several examples of how ALM enables us to offer more solutions to new and existing customers.
 A well-known food service brand has signed an agreement with Iron Mountain in the Netherlands to recycle their decommissioned IT assets. Data security was paramount in their decision to partner with Iron Mountain as well as our ability to be at any of their in-country locations within 48 hours. Also in this quarter, an existing Iron Mountain global financial institution customer signed a program deal to manage their secure ITAD, recycling and remarketing requirements, including their remote workplace inventory for over 400 sites nationwide.
 The customer wanted a single vendor approach to streamline their asset life cycle management. We worked with them on a unique solution that created process and workflow enhancements, integrated with their existing asset management systems and lowered their overall cost through the remarketing initiatives. The program supports all of their corporate locations with both on and off-site ALM services.
 Finally, a multinational conglomerate company has signed a deal with us to manage its ALM needs for data center decommissioning as well as their end user devices. Due to the customers' significant growth through acquisition, they had accumulated a significant amount of legacy data center and end-user device equipment that needed to be securely decommissioned. We were pleased to be able to provide a holistic global solution backed by our secure chain of custody in order to meet their needs.
 To conclude, I am very proud of the strong results our Mountaineers continue to deliver. Our consistently strong performance, including our ability to achieve our highest quarterly revenue to date is evidence of the increasing heights we are achieving as part of our Matterhorn climb.
 At the core of this continued strong performance is our customers. All of us at Iron Mountain are humbled by the trust which more than 240,000 organizations around the world including 95% of the Fortune 1000 have in us in our increased portfolio of services. We look forward to continuing our growth journey as we deliver our best-in-class and integrated solutions to our clients and create value for our shareholders.
 With that, I'll turn the call over to Barry. 
Barry Hytinen: Thanks, Bill, and thank you all for joining us to discuss our results. In the first quarter, our team continued our track record of strong performance, exceeding the expectations we've provided on our last call.
 We achieved record quarterly revenue of $1.48 billion, up 12% on a reported basis, driven by 9% storage growth and 17% service growth. On an organic basis, revenue grew 8%. Revenue was nearly $30 million ahead of the expectations we shared on our last call, driven by stronger performance in both our Global RIM and our asset life cycle management businesses.
 Total storage revenue of $885 million, up $75 million year-on-year was driven by solid performance from both Global RIM and data center. Total service revenue of $592 million was up $88 million from last year, reflecting strength in Global RIM and digital as well as strong contribution from our recently closed acquisition of Regency Technologies.
 For me, 2 key highlights in the quarter are: first, data center storage revenue exceeded 30% growth year-on-year. And second, our organic service revenue growth accelerated to 10% year-on-year, primarily driven by improved performance in our asset life cycle management business. Adjusted EBITDA was $519 million, an increase of $58 million from last year. This constitutes growth of 13%, both on a reported and constant currency basis year-on-year, driven by strong contributions across all business units.
 Adjusted EBITDA margin was 35.1%, consistent year-on-year driven by revenue management and cost productivity, offset by mix. AFFO was $324 million or $1.10 on a per share basis, up $29 million and $0.09, respectively, from the first quarter of last year. This was ahead of the expectations we shared on our last call as a result of the upside in adjusted EBITDA as well as phasing of both recurring capital investments and cash taxes, which is incorporated into our guidance for the second quarter.
 Now turning to segment performance. In the first quarter, our Global RIM business delivered revenue of $1.21 billion, an increase of $84 million from last year. On a reported and organic basis, revenue grew 7%. Storage rental revenue growth of 6% reflects our focus on revenue management and consistent volume trends. We delivered service revenue growth of 10%, driven by traditional services and digital solutions.
 Global RIM adjusted EBITDA was $526 million, an increase of $48 million year-on-year. Turning to our global data center business. We achieved revenue of $144 million, an increase of $32 million and 28% year-on-year. Data center adjusted EBITDA was $62 million or 22% growth from the first quarter of 2023.
 Turning to new and expansion leasing. We had a successful quarter with the team signing 30 megawatts with strong cross-selling activity. Our data center pipeline is robust across the markets we serve. In Phoenix, where we are fully leased in our first 2 sites, we have now commenced construction on our third site and have a considerable pipeline of opportunities to fill it.
 In support of our data center strategy and consistent with our sustainability commitments, we were pleased to execute our first green loan in April. This $300 million financing was well received and considerably oversubscribed. Proceeds will be used to support the construction of energy-efficient data centers in Northern Virginia.
 Turning to asset life cycle management. In the first quarter, we delivered improved performance for both revenue and EBITDA. Total ALM revenue in the quarter was $84 million, an increase of 103% year-on-year. Regency Technologies performed ahead of our expectations in the quarter with revenue of $32 million.
 While we are only 1 quarter into the integration, we are very pleased with the acquisition and are already seeing more benefit than planned in terms of cross-selling, increased capabilities and improved operational efficiencies. On an organic basis, ALM revenue increased 25% year-on-year, driven by both improved component pricing and increased volume from our strong cross-selling activity.
 Turning to capital. In the first quarter, we invested $366 million, of which $337 million was growth and $29 million was recurring. Our full year capital expenditure target remains $1.35 billion of growth and $150 million of recurring. Turning to the balance sheet. With strong EBITDA performance, we ended the quarter with net lease adjusted leverage of 5.1x.
 As a reminder, this remains at the lowest level in the past decade. We expect to operate within our target leverage range, which is 4.5 to 5.5x. Our Board of Directors declared our quarterly dividend of $0.65 per share to be paid in early July. On a trailing 4-quarter basis, our payout ratio is now 61% at the lower end of our long-term target range of low to mid-60s percent.
 And now turning to our forecast. With our positive outlook, we are pleased to reiterate our full year guidance despite the impact of the strengthening U.S. dollar. Our forecast today includes current FX rates, which results in an incremental headwind of approximately $25 million to revenue and approximately $10 million to adjusted EBITDA through the remainder of the year as compared to our initial guidance.
 For the second quarter, we expect revenue of approximately $1.5 billion, adjusted EBITDA of approximately $535 million, AFFO of approximately $310 million and AFFO per share of approximately $1.05. In summary, we are pleased to have delivered strong first quarter results, and we expect continued growth in 2024 as a result of our focus on Project Matterhorn objectives.
 I would like to take this opportunity to once again thank our entire team for their continued dedication and commitment to Iron Mountain and our clients. And with that, operator, would you please open the line for Q&A. 
Operator: [Operator Instructions] And today's first question comes from George Tong with Goldman Sachs. 
Keen Fai Tong: Within the storage business, organic revenue growth step to 7.5% in the quarter compared to about 10.5% in 4Q. Presumably, most of that was driven by changes in price realization since volumes are generally stable in storage. Can you talk a little bit about what you're seeing with your revenue management strategy and your latest traction with price realization in the quarter and expectations for the remainder of the year? 
William Meaney: Thanks, George. It's Bill, and I appreciate you joining the call. The -- so let me start with kind of the macro view. So we're really very pleased with our storage, both in terms of the records management as well as in the data center side because you can see we're continuing to grow. We've never stored on the traditional side or the records management side, we've never stored more documents than we do today.
 So we're really pleased with the continued strength of the volume and the growth and the volume on the data center side. In terms of pricing, you can appreciate that we -- as we go through the year, that ramp. So you should think about that as being kind of the low point. But I don't know, Barry, you might want to add a little bit more color to it? 
Barry Hytinen: George, thanks for that question. Bill's got it right there on the revenue management within Global Rim. The timing of revenue management actions year-on-year is such that there was a bit of a shift in the first quarter. Last year, we had more of the revenue management actions in place right at the beginning of the year. And this year, we're back to our more normal cadence of kind of the Mark's time frame, generally speaking, in terms of getting them all into the market and realized.
 As it relates to how it performed, though in Global RIM for storage rental revenue growth is actually, to be clear, ahead of our expectations on the lines you're asking about. And in total, we delivered 7.5% total revenue growth in Global RIM. You'll recall last quarter, we mentioned that our guide for the whole year, assuming Global RIM at about 6%. So we're starting very well. There was upside in Global RIM principally driven off of services, but a little bit ahead, as I mentioned, on storage rental and of course, data centers off to a really strong start.
 So we feel very well positioned with respect to where we started the year, George, on both revenue management, total storage revenue as well as the full enterprise results. 
Operator: And our next question today comes from Nate Crossett with BMP. 
Nathan Daniel Crossett: Maybe just a follow-up to that. What is your expectation for RIM volumes for 2Q and the balance of the year? And then data center leasing guidance, is it still 100-megawatt? And maybe you could just talk about the pipeline for data center. 
William Meaney: Okay. Thanks, Nate. I'll give you the -- in terms of volume, we continue -- it's a rock-solid business in terms of RIM volume, and we continue to see that to flat, slightly up. So we don't see any change, and you can see that in our supplemental, we don't see any change in that trend, and we continue to feel really good about that.
 And in terms of the pipeline on data center, it's extremely strong. You see we're off to a good start. We guided 100 megawatts for the full year. We're 30 megawatts in the first quarter, and we have a very strong pipeline as Barry alluded to in terms of Arizona, for instance, in terms of building out the third site in Phoenix.
 But across the globe, we have a very, very strong pipeline. So we're expecting another very strong year, benefiting from the strong macro environment around data centers, especially with the growth around AI applications. 
Barry Hytinen: And Nate, the only -- this is Barry. The only thing I would add is -- building on to Bill's point there at the beginning on volume. We are forecasting for volume to be up second quarter versus the first quarter. And consistent to slightly up for the full year as we've been saying for some time we're well on track with that forecast. And just as a reminder, we have never stored more physical volume than we are storing today. 
Operator: And our next question today comes from Brendan Lynch with Barclays. 
Brendan Lynch: Maybe we could start just by disaggregating the ALM components between increased volume and improvement pricing? 
Barry Hytinen: Brendan, it's Barry. Thanks for that question. If we look at total ALM, we had $84 million of revenue. Now Regency, which, as you know, we just recently acquired was just over $32 million of revenue, as I mentioned on the prepared remarks. So that -- and by the way, that was very good performance. So that's on a run rate of nearly, let's call it, 130, you'll recall last quarter, I mentioned that embedded in the midpoint of our guidance, it was for Regency to be about 115. And so we are well on track with respect to that line.
 In terms of enterprise and hyperscale rest of our ALM business is performing quite well. As I mentioned, on an organic basis, ALM was up 25%, which was stronger than we expected. And I should note that ALM in total was about $10 million ahead of the expectations we have baked into our first quarter guidance. So it was a meaningful portion of the upside for the total.
 In enterprise and hyperscale, getting directly to your question now, volume and price were both up and we saw component pricing rising through the quarter with more of the increase late in the quarter. So as we sit here today in April, component prices have continued to rise as compared to where they were in the first quarter.
 And in our outlook, we continue to be, I think, prudent with our expectations that, that is likely to continue to rise, although we haven't baked in the kind of some of the levels of increase that you've seen from some of the industry analysts, which are very robust increases as we move through the remainder of the year.
 Volume is being driven by our strong cross-selling activity and increased penetration with hyperscale clients as it relates to decommissioning. In both cases, we see that continuing to trend up over time. So we're feeling really good about the way ALM is starting to track with it. 
Operator: And our next question today comes from Jon Atkin with RBC. 
Jonathan Atkin: So a question on data centers and a question on, I guess, ALM. So on data centers for some of your newer expansions where you might end up doing build-to-suits or single tenant. What are the unlevered yields now that you are kind of underwriting to what would be kind of a minimum level that you think the market will bear? And then for ALM, I just wondered which regions do you think you could see outsized growth in? 
William Meaney: Okay. So maybe I'll start, John, and then Barry can give you some more color on ALM. On the data center side, I think we covered pretty much what we said in the last quarter, we see those trends continuing. So think of it as a couple of hundred basis points above the historical cash-on-cash return.
 So you're kind of looking at the 9 to 10 on hyperscale and then your -- I guess your question was more around hyperscale. So if you think about in terms of cost of capital, then we've -- basically, it's slightly ahead of what we've seen in the cost of capital with the run-up in interest rates. So the spreads are still positive in terms of the cost of finance, in terms of what we've gotten for cash-on-cash returns on the new leasing that we're doing.
 I mean that's due to the macro environment, as you know very well, in terms of -- it's a very, very strong market for data center, and we see that in our results. 
Barry Hytinen: Jon, it's Barry. On the ALM question as it relates to where we might see continued outsized performance, I don't want to come across promotional, but it's basically all regions because we are seeing ALM component pricing rise on a global basis, and we're seeing continued volume growth around the world, particularly in the U.S., thanks to our continued cross-selling to our some of our largest Fortune 1000 type clients as well as partnering together with the great team at Regency Technologies, we're seeing strong growth there.
 And I think that will continue for some time. As you know, the ALM market is very large, it's highly fragmented, and we think we have a huge opportunity in that space. And I just want to underscore that we're really, really pleased with the way the Regency combination is already unfolding even in this early stage of the integration. 
Operator: [Operator Instructions] Our next question comes from Andrew Steinerman with JPMorgan. 
Alexander EM Hess: This is Alex Hess on for Andrew Steinerman. Maybe 2 quick questions if you allow. On the ALM side, it appears that sort of -- if my math is right, that quarter-on-quarter, so 4Q '23 to 1Q '24 sort of the organic growth was about flat.
 Is that right? Maybe 25 million -- 25% growth times a year ago growth rate, a year ago revenue number for ALM? And then if I think about -- and maybe I'll let you answer that and then hopefully, you don't mind if I ask a maybe more longer-term-oriented question. 
Barry Hytinen: Go ahead with the longer term, and so we'll have them both. 
Alexander EM Hess: All right. Sounds good. So on the more longer-term-oriented question. I just wanted to know like how do you think about your ability to sort of deliver on time, on budget within your data center business and maybe how that's benchmarked against your peer group? 
William Meaney: Okay. Well, I'll deal with the longer term, and then I'll let Barry talk to you about the sequential quarter-over-quarter -- quarter-to-quarter on the ALM side. So on the -- I mean, the data center business, I think you can see that we're continuing to drive strong deployments across all of our campuses.
 So we don't see any change in terms of our ability to both plan and execute that, that's -- and you can see that in our leasing activity because as you can imagine, especially with the hyperscale clients and most of our leasing over the last 12 months has been -- the vast majority has been with hyperscale. You can imagine that's a key component for them to decide who they're going to go to, is our ability to actually execute on time, on budget, which is managing also the supply chain.
 So if anything, we see -- even though the demand is really, really strong right now in data center, we see that the planning has gotten a little bit simpler as supply chain is more normalized, albeit though this very, very strong demand. So we're blessed with a very good construction team. And our customers' trust is in a big part, exactly what you're talking about? 
Barry Hytinen: And Alex, it's Barry. Thanks for that question. You're doing the math right. It was up slightly on a dollar basis Q-to-Q. And I'll just note that as we said last quarter, on the decommissioning side, we had some clients last quarter that wanted to move some of their volume that they had been sitting on for some time. So there was a little bit of timing there.
 And frankly, I think we also saw in light of the way pricing was moving both from the end of the fourth quarter through the first quarter that some of our hyperscale clients were actually deferring some of the remarketing until later in the quarter in light of the fact that they wanted to like we did as well capture the better pricing that we've been seeing. As I mentioned earlier, the pricing really did ramp later in the quarter and continues.
 So the trends in that business are quite good. And what that results in is we had a little bit of mix in legacy IT renew business. I will note, however, that the enterprise business was up nicely on a sequential basis. And of course, in light of the cross-selling activity and the bookings that we've been talking about in that business and knowing that it's not the kind of remarketing. It's just a very straight service oriented.
 I am expecting the enterprise business to continue to grow quarter-to-quarter and, frankly, the hyperscale as well. So thanks for that, Alex. 
Operator: And our next question today comes from Eric Luebchow with Wells Fargo. 
Eric Luebchow: Just to follow back on the data center business. Obviously, you have a high-class problem with most of your footprint pretty leased up. So how should we think about future data center CapEx given the strong leasing in the quarter? And how are you thinking about either additional markets or areas where you might need to add land capacity so that you have a further runway to grow the business beyond this year? 
William Meaney: Thanks, Eric, for the question. Yes. So I think let me kind of break out your question in 2 parts. From a capital standpoint, we're very much within our multiyear plan that we laid out at the Investor Day. So in terms of our ability to fund it, as I said, earlier is that we have a fully funded plan and that we don't see any issues between the strength that we have in our traditional records management business that generates as you know, tons of cash that we then -- after paying the dividend, we actually flow into data center and growth areas.
 And then, of course, the strong growth we're getting in EBITDA gives us plenty of debt capacity to continue to fund that growth. So in terms of the funding side of it, as you say, it's a high-class problem. But you can imagine even when we were putting the plans together and we do our budgets is we look at upside and downside in terms of demand. So we're pretty comfortable that we can continue to fund the growth that we're seeing.
 In terms of the footprint, you're right to point out that we're going to be full and for instance, in our Manassas campus fairly soon. And we've talked about that we're already starting construction on our third campus or our third data center in Phoenix. And we're building out the Madrid campus. We're adding to the Amsterdam campus London 3. We started off with 1 data center. Now we're in 3. We have 2 data centers in Frankfurt.
 So you're right to point that out. But I think you can imagine that we, right now, we feel very confident that we have in our pipeline to acquire more land that's in excess of the 100 megawatts for instance, that we guided this year. So we feel really good about the land bank strategy that we have in terms of what we have in the acquisition pipeline for land over the next -- for the rest of the year that will be ahead of our leasing activity. 
Barry Hytinen: Yes, Eric, I would just add on and thank you for the compliment, by the way, on how the data center business is continuing to progress. The team is doing a phenomenal job. But I would just add on that we have multiple land parcels that we are in active negotiations with. We were looking at multiple sites.
 And importantly, that is embedded in our capital spending that we've been planning, as Bill alluded to, to continue to add to the land bank kind of continuously year in and year out. So that's embedded in the capital. 
Operator: And our next question comes from Jon Atkin with RBC. 
Jonathan Atkin: Just a follow-up on, I guess, 2 follow-ups for your time. So you mentioned a lot of sovereign requirements, and I'm just interested in how competitive you find that space in terms of the RFP activity. And again, similar to my other question with earlier, is there particular region where you see more of those sorts of things, perhaps presenting opportunities? And then beyond the question would be the... 
Barry Hytinen: Jon, just before you go into the next question, we had a little interference with the signal. Can you repeat the first part of the question or maybe just give us the first question again? 
Jonathan Atkin: Yes. How competitive are you finding the sovereign requirements? I don't know if these are formal RFPs in each case, but if you can talk a little bit about the competitive environment and then future opportunities, are there particular regions where you see more growth ahead in kind of the public sector?
 And then the second question was more around ITAD and you mentioned the integration of Regency. How complex are those integrations? And is it too soon to think about doing more of those types of tuck-ins for ALM? 
William Meaney: Okay. Thanks, Jon. I'll take the question in terms of government contracting. And Barry, as you know, runs our M&A shopping. So I'll let him talk about both the integration with Regency as well as the pipeline in terms of further roll-ups.
 I think in terms of the sovereign contracting or government side of the business, is that we work for -- we work with a number. As you noticed that I highlighted a couple this time with United Kingdom, we do quite a bit in the United States, we also do quite a bit in other parts of Germany, including France and in -- yes, in other parts of France and Germany.
 And you're right, the relationships -- first of all, it's like anything else, it's a relationship building to make sure that you get into the queue. And you're right to point out that many times, these things lapse 12 months. In other words, they start talking to you before they get into the budgets and the budgets for the following year and you go through a tender process.
 But we feel pretty good about -- I mean, we've got teams that are very experienced at that. I think it's actually an opportunity for us because you can imagine we pick our places that we decide to play because you do have to have a 24-month horizon when you're going after that kind of business. So we typically go to the -- both the parts of government and the governments or states where we think that there's enough of a volume to do.
 So I think there's more for us to do and we're continuing to add to our teams in that area. And of course, you have to put very strong compliance around it, right? So -- but it is a strong part of our business, and it continues to grow. And it's a strong part -- and of all of our businesses. It's not just on the records management or the digital side, it includes data center. 
Barry Hytinen: Jon, it's Barry. Thanks for that question on the integration and tuck-ins. First thing I'd say is the integration is going very well. No integration, I would ever say, is easy because, of course, combinations of companies are -- it is complex. However, I think our team is doing a very, very good job, and I alluded to in the script, that we are ahead of plan, and we are seeing more benefits in terms of operational efficiencies, driving better margins, improved capabilities.
 And that's credit to the team we picked up at Regency Technologies because they have a best-in-class capability as it relates to processing and recycling. And Bill and I were recently in our largest facility in Ohio with the team of Regency Technologies. We saw a lot of great processing going on, a really dedicated team.
 I was in our Atlanta Regency facility last week, and saw the integration underway and we continue to see a lot of incremental capacity to utilize as we build out our ALM customer base. And as it relates to additional tuck-ins, I would say now that we've built the platform of both hyperscale, decommissioning as well as combining with Regency, tuck-ins are definitely something we are continuing to look at.
 It is to use your phrase, it is not too early to be considering them. We have a list. But of course, everything is fact and circumstances driven. We like to make sure we're getting things at a very appropriate multiple and that we can see clear growth aligned with our business and that it will be incremental to our franchise. And -- but I think that there are opportunities booked in the U.S. and throughout the world actually as we build out our ALM capability to be a global partner to our large client base. 
Operator: This concludes today's question-and-answer session and the Iron Mountain First Quarter 2024 Earnings Conference Call. Thank you for attending today's presentation. You may now disconnect your lines, and have a wonderful day.